Operator: Good morning. My name is Terse and I will be your conference facilitator today. At this time, I would like to welcome everyone to the AAM's Third Quarter 2014 Earnings Conference Call. (Operator Instructions). As a reminder, today's call is being recorded. I would now like to turn the call over to Mr. Christopher Son, Director of Investor Relations, Corporate Communications and Marketing. Please go ahead, Mr. Son.
Christopher Son: Thank You, Terse and good morning everyone. I would like to welcome everyone who is joining us on the call to AAM's third quarter 2014 earnings call. Earlier this morning, we released our third quarter of 2014 earnings announcement. We also filed an 8- which contains an updated -- a Form 8-K for our 2014 and 2015 outlook. You can access these announcements on the AAM.com website or through the PR Newswire services. To listen to a replay of this call, you can dial 1-855-859-2056, reservation number 34605138. A replay of this call will be available beginning at 1 P.M. today through 5 p.m. Eastern Time, November 7, 2014. Before we begin, I would like to remind everyone that the matters discussed on this call may contain comments and forward-looking statements subject to risks and uncertainties which cannot be predicted or quantified and which may cause future activities and results of operations to differ materially from those discussed. For additional information, we ask that you refer to our filings with the Securities and Exchange Commission. During this call, we may refer to certain non-GAAP financial measures. Information regarding these non-GAAP measures as well as a reconciliation of these non-GAAP measures to GAAP financial information is available on our website. Over the next several months, we will participate in the following conferences, the Barclays 2014 Global Automotive Conference in New York on November 19; the Bank of America 2014 Leverage Finance conference in Florida on December 2; and the Credit Suisse automotive conference in New York on December 4. And again in the beginning of the year at the Deutsche Bank Global Automotive Industry conference in Detroit on January 15. Finally, we’re happy to host investors at any of our facilities, so please feel free to contact either Vitalie Stelea or me to schedule a visit. With that, let me turn things over to AAM's Chairman, President and CEO, David Dauch.
David Dauch: Thank you, Chris and good morning to everyone. Thanks for joining us today to review AAM's financial results for the third quarter of 2014. Joining me on the call today are Mike Simonte, our Executive Vice President and Chief Financial Officer and Alberto Satine, AAM's Senior Vice President of our global driveline operations. To begin our discussion today, I will first provide some highlights of AAM's third quarter results, then I will review the status of some key quarterly developments before turning things over to Mike to cover more of the financial side of things. Let me first state [Technical Difficulty] financial results in the third quarter of 2014 were highlighted by strong cash flow and solid profitability driven by our continued sales growth and improvements in our operational stability and productivity. AAM's third quarter financial results include the following. First, AAM sales in the third quarter of 2014 were $950.8 million, up approximately 16% on a year-over-year basis. These are strong results when compared with an 8% year-over-year growth rate for both the U.S. SAAR and the North American light vehicle production. Second, AAM's non-GM sales increased 26.5% on a year-over-year basis to $296.8 million. The key driver that continues to support our non-GM sales growth in 2014, are the Chrysler Jeep Cherokee program and the Ram heavy duty truck pilot programs. Third, net income was $48.6 million or $0.63 per share in the third quarter of 2014. This quarter's net income represents a 54% increase when compared to last year's reported third quarter income. Fourth, EBITDA increased by $22.7 million to $136.1 million in the third quarter of 2014 as compared to $113.4 million in the third quarter of 2013. EBITDA margin was 14.3% in the third quarter of 2014 as compared to 13.8% in the third quarter of 2013. And fifth, AAM generated nearly $97 million of positive free cash flow in the third quarter of 2014. On a year-to-date basis, we have generated nearly $84 million of positive free cash flow and are on track to deliver more than $100 million of positive free cash flow for the full year of 2014. Mike will cover additional details of our third quarter financial results in a few moments. Let me now share with you some highlights of the quarter in the areas of quality, operational excellence and technology leadership. Let's first start with quality. As you know, quality is one of AAM's foundational strategic principles and is a key driver of our culture and our competitiveness. For the third quarter of 2014, there were eight AAM facilities with perfect performance or zero parts per million, that is exceptional performance for our operations. On an overall basis, AAM continues to operate at levels less than 5 discrepant parts per million in totality. In addition to the strong quality performance, three AAM facilities, our coal port Malvern facility in Ohio, our Changshu manufacturing facility in China and our DieTronik operations in Auburn Hills, Michigan, were all recently recognized by our largest customer with a GM supplier quality excellence award for their outstanding performance. So a job well done by those facilities. We continue to emphasize quality, warranty, reliability and durability performance in our business as more stringent standards are being demanded both by our customers as well as the industry in general. AAM's commitment to the highest level of quality performance available in the industry is a critical differentiator for us in the marketplace and we will continue to stay laser focused on it. Okay, moving forward to my second item, operational excellence, we’ve successfully executed and launched our 17 launches that we had planned for this year. In addition, we’re in the final stages of increasing our production levels to full rate for a major global crossover vehicle program. With the 2014 launches behind us, our focus now is stabilizing our operations and achieving productivity gains along with preparing for our 2015 launch activities. To give you a preview of some of the key launches we’ve ahead of us in 2015 let me outline a couple of them here for you today. For Jaguar Land Rover, we're launching front drive units and rear drive units for multiple passenger car programs in Europe. For Ford, we will be launching a manufacturing light truck program out of our Rayong, Thailand facility in the beam axle area. For Nissan, Nissan light duty truck program here in North America, we will be providing both front and rear axles. And for Mercedes, we will be launching independent rear drive axles for our crossover vehicle program based off both the C&D class vehicles in China. And finally for Chrysler, we will be providing PTUs and RDUs for a third eco-track derivative for the China market. The last item I would like to cover is technology leadership; we continue to be very pleased with the performance of AAM's industry-first disconnecting all-wheel drive system, otherwise known as EcoTrac, featured on their award-winning all-wheel drive Jeep Cherokee.  This vehicle has been very well received by consumers and automotive critics alike. Motor Week named Cherokee as 2014 Best Small Utility Vehicle. We see great potential for AAM's EcoTrac disconnecting driveline system both within the Jeep brAnd across the Fiat Chrysler family, as well as opportunities both here and abroad for further opportunities and applications. And as the automotive industry is entering a new and more advanced phase of innovation and design and development, we’re working very hard to encompass new independent drive vehicles, hybrid and electric vehicles and advanced powertrain applications and other equally sophisticated technologies. We’re meeting a lot of these challenges with aggressive plans to increase our investment in advanced product process and systems technology. In supporting these efforts, our R&D spending in the third quarter of 2014 was $26.4 million. On a year-to-date basis for 2014, AAM has spent approximately $76.6 million on R&D. AAM's R&D spending is focused on the development of innovative solutions to assist our customers to meet market demand for improved fuel economy and lower emissions, reliability and durability, enhanced power density and improved vehicle performance which includes safety and ride and handling performance. In addition, as our customers are looking to reduce weight through the use of aluminum or other conventional means, AAM is well-positioned to offer innovative and industry-leading solutions. Our portfolio includes high efficiency axles, aluminum axles and also all the drive applications for both plug-in hybrid electric vehicles to full electric vehicles. AAM has also developed capabilities in the areas of electronic control systems and Mechatronics to further integrate electronic components such as motors, actuators and sensors into AAM's mechanical technology to enhance vehicle performance and to provide enhanced and better torque management. To help accelerate our efforts in all of these areas, we announced during the quarter AAM's decision to open up an all-new, first for Detroit, advanced technology development center, otherwise what we refer to as ATDC, as the site of our Detroit campus here. With a $15 million to $20 million investment and the creation of 75 to 100 jobs, AAM plans to open up a state-of-the-art center for technology benchmarking, prototype development, advanced technology development, supplier collaboration, customer showcasing, associate training on all of AAM's future products, processes and systems and we will have that completed here by mid-2015. This commitment reflects our view that the long term health of our industry is dependent on taking the benefits of our recent restructurings and reinvesting them in our product, process and system technology and most importantly, our people. Before I turn it over to Mike, let me wrap up by making a few closing remarks regarding our outlook for 2014 and beyond. With respect to AAM 2014 outlook, we are confirming our full year 2014 sales outlook at $3.675 billion. We’re updating our full year 2014 EBIT target to be in the range of 13.7% to 13.9% of sales. We’re also raising our guidance for full year 2014 free cash flow generation to a range of $100 million to $120 million. These sales and EBITDA targets reflect the assumptions that the U.S. light vehicle SAAR is approximately 16.25 million to 16.5 million units in 2014. As we work towards a strong finish in 2014, we remain focused on the core foundation of AAM's aligned business strategy which includes our operational excellence, quality and technology leadership that I just spoke about. We believe our focus on these three critical strategic objectives, positively differentiates AAM in the marketplace and we look forward to reviewing further progress with you again in the near future. That concludes my comments for this morning. I think everyone for your attention today and for your continued support of AAM. Let me now turn the call over to Mike. Michael?
Mike Simonte: Thank you David and good morning, everybody and Happy Halloween to those of you with trick-or-treaters at home tonight. My job today is to review the details of our financial performance in the third quarter of 2014. Let's start with sales. AAM sales in the third quarter of 2014 increased $130 million or 16% on a year-over-year basis. Sales amounted to $951 million in the quarter and that is as compared to $821 million in the third quarter of 2013. On a sequential basis, sales in the third quarter of 2014 were about flat as compared to the second quarter of 2014, up almost $4 million, but that is pretty close to flat. The year-over-year increase in AAM's third quarter sales primarily relates to strength in our two largest businesses. First, sales supporting our North American light truck business were up 18% on a year-over-year basis, driven by higher production volumes for our major North American light truck programs. Of course, what we mean here is GM's full size pickups and SUVs and Chrysler's Ram heavy duty series pickups. And second, sales in our passenger car and crossover vehicle business were up 60% versus the third quarter of 2013 and this increase is primarily due to higher sales of our EcoTrac disconnecting all-wheel drive system which is now fully launched on the all-wheel drive models of the Jeep Cherokee and Chrysler 200. This is really the fourth quarter of launch for this product we now -- we are now fully launched on this product, as David pointed out, but looking forward further extending this product to a third platform for Chrysler next year. AAM's strong position in the light truck market, as well as our increasing exposure to the all-wheel drive -- and don't forget rear wheel drive -- passenger car and crossover markets continues to power our sales growth in 2014. AAM's non-GM sales have now increased 36.5% on a year-over-year basis through the first three quarters of 2014 and our total sales in that time period non-GM sales, $883 million, that is more than double the rate of growth for our company in total this year and our total rate of growth runs 16%. Just as David described for the third quarter of 2014, sales of our EcoTrac disconnecting all-wheel drive system as well as new content on the 2014 model year Ram heavy duty series pickups, are the biggest drivers of our non-GM sales growth this year. Of course, this is an important diversification initiative for our company. Including the impact of revenue, from our Hefei China joint venture, AAM's non-GM sales represented approximately 35% of our total sales on a year-to-date basis in 2014. In 2015, our biggest launch programs include passenger car axles for Jaguar Land Rover and Mercedes as well as truck axles for Ford and Nissan. These programs and others will help us continue to grow our non-GM sales and improve the balance of our customer exposures and revenue streams. Let's move on to content per vehicle. We measure AAM's content per vehicle by the dollar value of product sales supporting our customers' North American light truck and SUV programs. In the third quarter of 2014, AAM's content per vehicle was $1676. This was up 7% on a year-over-year basis as compared to $1560 in the third quarter of 2013. Consistent with the trend we’ve discussed with you for the first half of 2014, the primary driver of this increase in content per vehicle is the new sales content we are providing to GM and Chrysler on their full size truck programs. Of course, I mean here the K2XX and the Ram heavy duty series pickups. In addition, four wheel drive penetration was approximately 68% in the third quarter of 2014, up 300 basis points on a year-over-year basis versus the third quarter of 2013. This contributed to a richer mix of sales in the third quarter of 2014 and record or near record levels of content per vehicle in four wheel drive penetration. Let's move now to profitability. All of AAM's key profitability metrics in the third quarter of 2014 were improved on a year-over-year basis. And this was led by solid performance in our North American light truck business and gains in our metal form products operations, both of these businesses benefiting from strong demand for our products, higher capacity utilization and effective cost management. AAM's gross profit in the third quarter of 2014 increased 19% as compared to the third quarter of 2013 to approximately $149 million. Gross margin was 15.7%. Operating income increased 26% to $85.1 million. Operating margin was 9% of sales. Net income in the quarter was $48.6 million or $0.63 per share. AAM's net margin was 5.1%. In the third quarter of 2014, GAAP-derived EBITDA, or earnings before interest expense, taxes and depreciation and amortization, increased 20% on a year-over-year basis to approximately $136 million. EBITDA margin was 14.3% of sales in the quarter. As compared to the third quarter of 2013, the profit contribution from higher sales and a richer mix was the primary driver of AAM's improved profit performance. This was partially offset by higher SG&A costs which include R&D. Before reviewing our cash flow results, let me quickly cover SG&A interest and taxes, starting with SG&A. In the third quarter of 2014, SG&A, including our research and development spending was approximately $64 million, that equates to 6.7% of sales. Now our spend rate in the third quarter of $64 million compares to $57.8 million in the third quarter of 2013, and $61.5 million or 6.5% of sales of the second quarter of 2014. The year-over-year increase in SG&A is driven by two factors, both of which we have highlighted in previous commentary. Higher R&D spending and higher IT costs, the latter being primarily related to the upgrade of our ERP systems. What I'm speaking to hear is enterprise resource planning systems. These are the core businesses we use on a day to day business to run our -- or a day today basis, I should say, to run our business. In the third quarter of 2014, R&D expense was approximately $26.4 million. This compares to $23.6 million in the third quarter of 2013 and $24.4 million of the second quarter of 2014. As we have previously discussed with you we expect AAM's R&D spending to ramp up in the second half of 2014 as compared to the first half of this year and for that matter, the second half of last year. We’re serious about setting the benchmark for technology leadership in driveline system applications and we are making strategic investments in our global product engineering capabilities to deliver on this critical commitment. We are creating innovative new product, process and systems technology, especially in the areas of axle efficiency, power density and light-weighting. We are testing and validating new axle designs aimed at reducing weight by 10, 20, even up to 60 pounds from current designs, all while totally satisfying our customers' ever-increasing requirements for torque handling capability, duty cycle and NVH performance. We’re working to advance and further develop our unique and valuable disconnecting all-wheel drive technology and electric drive applications. We believe these patented products and their critical components and design attributes will be a major driver of our growth in the next 5 to 10 years. We’re developing important new competencies in vehicle controls, actuation and other Mechatronic applications. Many of our most important current R&D projects do not involve castings, forgings, or stampings, but rather circuit boards, software, motors and controllers. We’re also testing new materials and metal forming processes that are designed to make dramatic improvements in the strength and durability of key components in our driveline systems. Our goal is to significantly reduce the weight and mass of our most critical components in our highest volume products to reduce cost and sustain our competitiveness and performance edge. Our products will become more powerful, but smaller. In fact, we are designing our next generation axles, RDMs and PTUs to win the Biggest Loser competition in our industry segment as we have our customers achieve more stringent fuel efficiency and emissions standards. We’re very excited about these activities and feel these new and enhanced capabilities position our company to increase our served market and to further grow into and diversify our business. These are the reasons why we are increasing our R&D spending and we look forward to spending a lot more time with you to explain these developments and their impact in the coming quarters. Moving on to interest expense, net interest expense in the third quarter of 2014 was approximately $24.4 million. This decreased by $5.5 million on a year-over-year basis. The primary reason why interest expense decreased on a year-over-year basis is the impact of our fourth quarter 2013 debt refinancing activities. The weighted average interest rate of our debt capital structure at the end of the third quarter was approximately 6.4%. This was approximately 100 basis points lower than at September 30, 2013. And finally taxes, AAM's effective tax rate in the third quarter of 2014 was approximately 19%. On a year-to-date basis, AAM's effective tax rate was approximately 18%. This is consistent with our guidance for a steady state book tax provision of 15% to 20% in 2014. Our cash tax provision continues to be much lower than the book tax provision. Through the first three quarters of 2014, AAM's cash tax provision was approximately 5.5%. Let's move onto cash flow, clearly the highlight of this quarter. We define free cash flow to be net cash provided by -- sometimes used in but not this quarter -- operating activities less capital expenditures, net of proceeds received from the sale of property, plant and equipment. GAAP cash provided by operating activities in the third quarter of 2014 was $149 million. Net capital spending in the third quarter of 2014 was approximately $52 million. Reflecting this operating activity and CapEx, AAM's positive free cash flow in the third quarter of 2014 was $97 million. On a year-to-date basis, we have now generated approximately $84 million of positive free cash flow through the first three quarters of this year. As David already mentioned, we’re on track to deliver more than $100 million of positive free cash flow in 2014. Let me cover a couple of quick hitters on the balance sheet. AAM's EBITDA leverage, or the ratio of net debt to EBITDA, was approximately 2.65 times at September 30, 2014 and this is on an adjusted basis. By the end of this calendar year, we should be approaching 2.5 times on this critical measure of balance sheet strength. AAM's EBIT coverage -- EBIT, of course, being earnings before interest and taxes -- was approximately 3.0 times at September 30, 2014, also on an adjusted basis. This critical credit metric is now much, much improved over the past couple of years. It is and just to be clear both of these credit metrics were calculated on a trailing 12 months basis. As to liquidity, at quarter-end, AAM's total available liquidity was $774 million consisting of available cash and borrowing capacity on our global credit facilities. Before we start the Q&A, I will close my remarks this morning by commenting on our 2014 outlook. As David said, today will be our updating our guidance for 2014. First, we’re confirming our full year 2014 sales guidance at approximately $3.7 billion. Now, to be more precise and so that you understand our expectations for the fourth quarter of 2014, we are disclosing today that we currently expect full year 2014 sales to be approximately $3.675 billion. Let me make a few more comments on this. First our 2014 full year sales guidance is in-line with the current Street consensus as reported by Bloomberg. The latest read we’ve on that is $3.676 billion. Second, the implied sales guidance for the fourth quarter of 2014 is a little less than $920 million. This is approximately $30 million lower than our third quarter and for that matter, our second quarter sales total. Keep in mind that there are fewer production days in the fourth quarter approximately 10% fewer as compared to the third quarter. On a daily basis, we expect our production and shipment volumes to be a little higher on average, in the fourth quarter as compared to the third quarter. So the environment continues to be very strong. Third, we continue to be confident in our full year production volume estimate for the K2XX program at approximately 1,150,000 vehicle units. As you may know, the run-rate of sales in the past two quarters for GM's full size pickups and SUVs has tracked in excess of 1.2 million units annual pace. We expect this program to continue to be a powerful sales engine for General Motors and the extended K2XX supply chain in the coming quarters. Fourth and finally, our full year production volumes in Brazil and Thailand are a little lighter, but materially the same as what we expected in the middle of the year. Today, we also updated our full year 2014 EBITDA target to be in the range of 13.7% to 13.9% of sales. When all is said and done, we’re targeting our EBITDA margin to be solidly in the upper half of our initial guidance range for the full year 2014. With respect to profitability in the fourth quarter of 2014, we expect our EBITDA margin to be lower than our results in the second and third quarter of this year, probably a lot more similar to the first quarter of this year. There are two major reasons for this. First, as I already mentioned, there are fewer production days in the fourth quarter, this will translate to lower capacity utilization. We simply cannot spread our fixed costs quite as efficiently as in the fourth quarter due to the impact of holiday downtime. And second SG&A costs, including R&D, should be higher in the fourth quarter of 2014 than either of the previous two quarters and I covered that in detail already. And lastly in terms of free cash flow, we’re increasing our guidance for the full year 2014 free cash flow generation to a range of $100 million to $120 million. Free cash flow generation is our most important financial metric. It is the key to creating value for all of our key stakeholders, growing our topline and sustaining strong profit margins will help us increase enterprise value. Generating positive free cash flow and moderating our leverage profile will improve our financial flexibility and help to ensure that a higher share of our enterprise value accrues to the benefits of stockholders. That is our mission. Before we start the Q&A, I would like to remind you that in the fourth quarter of 2014, we expect to incur a non-cash special charge related to a terminated vested lump sum program. Under this program, we’ve offered a voluntary onetime lump sum cash payment option to certain eligible terminated vested participants in AAM's U.S. pension plans. We expect these lump sum settlements which will be paid exclusively from planned assets and not company assets, to reduce our liabilities and future administrative costs. The amount of any special charge we record in the fourth quarter will be based upon participation rates in the program which runs through November 12, 2014, as well as the value of planned assets and discount rates and all the other actuarial valuation issues at December 31, 2014. We will update you on this program and the related accounting impact in January at the Detroit Auto Show. To be absolutely clear, all the guidance we have provided and updated today excludes the impact of any special charge that may be incurred in connection with the terminated vested lump sum program. That wraps up my comments this morning. Thank you for your time. Thank you for being on the call today. We will stop here and turn the call back over to Chris so that we can start the Q&A.
Christopher Son: Great. Thank you, Mike and thank you, David. We’ve reserved some time for some questions. I would ask that you please try to limit your questions to no more than two. So at this time, I will turn the call back over to Terse to compile the Q&A roster and begin the Q&A.
Operator: (Operator Instructions). Our first question comes from Itay Michaeli with Citi.
Itay Michaeli - Citi: Wanted to ask a question in that regard, as you start to build cash here on the balance sheet, Mike, can you remind us what the target is for gross debt reduction in the next 12 to 18 months relative to perhaps building some cash on the balance sheet?
Mike Simonte: Yes. We really focus on net debt targets when we think about this opportunity we’ve generating free cash flow and moderating our debt profile. We expect to, as you know generate more than $100 million of free cash flow this year and over the two-year period 2014 and 2015, upwards of $275 million to maybe $300 million of positive free cash flow. The term loan is pre-payable with no discount and that is currently in the neighborhood of $140 million. So there is great flexibility for us if it makes sense to take that out and beginning in the first quarter of 2016, the (indiscernible) that we issued a year ago also callable so we have got lots of flexibility. But as you know, the term loan is a very low cost, flexible instrument for us. So we’re going to balance our gross debt reductions with all the other things happening in our business, including the opportunities we may have in the future to make strategic investments. And so we will focus on net debt reduction. We will be looking at targeting two times EBITDA leverage at the end of next year, that is really how we think about that at this time.
Itay Michaeli - Citi: And just as a follow-up question, kind of big picture as you make the balance sheet progress, increase the R&D spend, maybe just update us on quoting activity and whether some of this progress can improve the win rates over the medium-term. And then, as you also bring your CapEx down maybe just give us an updated thought of what you think the company can grow at organically longer term as you bring the CapEx down, improve the balance sheet and step up the R&D spending?
David Dauch: As we have said to you guys all along, we are quoting on over $1 billion on of new business opportunity. We are going to get our fair share of that business this year as it relates to meeting our sales goal this year which will start contributing to the backlog of new business, mainly 2017 and beyond, but a little bit in that 2016 calendar year period of time and we will update our backlog in January and at the Auto Show conference. But we feel very confident with the technology that both Mike and I spoke about earlier, where we’re from a capacity utilization standpoint that there is plenty of opportunities for us to leverage the different segments that we are serving whether it be in the North American light truck, the global light truck, the rear wheel drive passenger car, the crossover vehicle business. And we’re very excited about some of the opportunities that are presenting themselves also in regards to the disconnecting all-wheel drive and even the EAM activity. So we’re very confident in regards to our ability to organically grow this business. As you all know and we have shared with you before, we are very focused in regards to capacity utilization and managing the CapEx appropriately so we can, again continue to drive free cash flow within the business. You know that we have also been growing at an accelerated rate outpacing the marketplace, that will slow down a little bit, based on us being a little bit more selective. But at the same time, as Mike and I have both imitated indicated, we are also going to balance that with some of our strategic initiatives in the future. So we’re going to balance those priorities by managing the balance sheet and managing the organic growth and also managing the strategic side of things. Mike, I don't know if there is anything else you want to comment on.
Mike Simonte: Yes, from a financial metric perspective, we have guided our CapEx spending plans down to a range of 4% to 6%. As you know to support our organic growth, we’re focused on the midpoint of that range or maybe even a little bit lower as we look to the next couple, three years. Now that level of spending -- let's say, 5% at the midpoint -- is sufficient to help grow our business organically, roughly 5% to 7%. And with the U.S. SAAR expected to trend closer to 1% growth and global SAAR expected to grow maybe 3% over the next several years, we have the opportunity to grow with that CapEx spending level at or probably higher than the unit volume growth rate in the industry. So our focus is on exactly what David said, growing the business organically, but reserving dry powder to accelerate our growth and diversification through strategic initiatives over the next several years. 
Operator: Thank you. Our next question comes from Rod Lache with Deutsche Bank.
Rod Lache - Deutsche Bank: A couple of follow-ups, first of all, just to clarify, are you suggesting that the CapEx comes down to around 5% next year, so closer to $200 million versus I think you are targeting, $225 million, $226 million this year?
Mike Simonte: Yes, we will provide a lot more detail on 2015 next year, but we’ve been saying we continued to believe that we will be targeting that 5% level in 2015. And as our plans develop and other issues develop relative to the quoting activity that we have right now we will give you much more detail about that in January.
Rod Lache - Deutsche Bank: Okay. And within the $120 million of free cash flow that you are achieving this year, what is roughly your expectation for working capital usage? And can you just pass along any high level thoughts on how we should think about that going forward?
Mike Simonte: Yes. Our working capital usage and specifically for accounts receivable inventory net of our accounts payable, our terms and conditions with customers and suppliers suggest that we need about 12% of our net annual incremental sales growth to support our working capital needs. Now there are some elements of working capital outside of receivables, payables and inventory that require a little bit of extra push every once in a while. This year for example, we had a substantial amount of re-billable tooling activity. So that would not be typical trade accounts receivable activity and we do have some spare parts and repair parts that are not considered CapEx, but do show up in the balance sheet. So we may be somewhere in the range of 12% to 15% when all is said and done to support these requirements.
Rod Lache - Deutsche Bank: And declining to maybe closer to 12% or like $40 million next year?
Mike Simonte: Yes. The 12% number is a real good -- it's proven to be, over time we use it for all of our planning purposes, it has been very accurate. Again, it is just based on the days outstanding and terms of conditions on receivables and payables on our inventory turn rates. But 12% for receivables, payables and inventories is just about right and so with sales growth in the $300 million area next year, you're exactly right on.
Rod Lache - Deutsche Bank: Okay. And just lastly, I know you are going to provide your more detailed guidance in January, but just at a high level, you’re targeting $325 million of topline growth. How should we be thinking about the EBITDA leverage on that? Are there any specific items with respect to R&D spending or SG&A spending that you would want to just make us aware of at this point?
Mike Simonte: Yes very similar to the discussion we had about the progression of our EBITDA margins at the beginning of this year there have been some changes to our initial plans -- but we do expect our SG&A spending rate to increase a little bit next year. As David pointed out, we’re going to have some onetime costs and some ongoing costs to get our advanced technology development center up and running. We’re looking at the opportunities we have from an R&D spending perspective to support product development activities in particular and so we would expect our research and development spending to increase. We do expect some economics, if you will -- some inflation relative to our ongoing SG&A operations. And so these activities, we really expect some inflation there. Otherwise, as we have discussed many, many times in the past, we expect strong contributions from our North American light truck business. We do expect a lower concentration of revenues in that portion of our business that is the highest margin profile portion of our business, as you know and so we do expect some moderating EBITDA leverage over time. But we feel good about being able to sustain our EBITDA margins through 2015 and 2016 for that matter, if the North American light truck margin continues to be very strong, at very solid level in the midpoint of our long term guidance range for EBITDA very similar to the types of conversion rates we have been able to have this year.
Operator: Thank you. Your next question comes from John Murphy with Bank of America Merrill Lynch.
John Murphy - Bank of America Merrill Lynch: Just a first question, you mentioned that the mix on the GM K2XX was incredibly rich at 68% four wheel drive. Just wondering if you could remind us what your content differential is on four wheel drive versus two-wheel drive and as you have seen sort of this -- your historical performance around gas prices being incredibly low, is this kind of a mix that might stay at this level going forward? Or did this have to do with sort of just a rich mix at the launch of the SUVs?
Mike Simonte: It is certainly, the improved four wheel drive penetration is certainly impacted by a very strong performance level of the SUVs. Those products have four wheel drive take rates that are higher than the average for the program, but we’re also seeing increased demand for four wheel drive on the pickup side as the work and utility aspect of this vehicle is really emphasized by General Motors customers. The same is true by the way, for Chrysler's Ram pickup trucks and so we are seeing an increased demand for that. Gas prices probably have something to do with it, but we think it has more to do, at least on the pickup side, with the utility associated with the vehicle and the reason and the basis in which these vehicles are used. In terms of dollars and cents, what we’re talking about is the addition of a front axle and for that matter, the front aux shaft for the vehicle. So you are talking $400 to $600, depending on the size of the vehicle. And that is what is driving that content up so much.
John Murphy - Bank of America Merrill Lynch: And should we think about margins as similar with that incremental content or would they be higher on a four wheel drive system?
Mike Simonte: No, they are very similar.
John Murphy - Bank of America Merrill Lynch: And then just secondly, you look at all the innovation that you are putting out there in the market and the great wins you're getting with Chrysler and other customers. Just curious, are you replacing other incumbent suppliers on all these all-wheel drive systems? Or are you actually replacing some in-house capability at the automakers that they are just not investing in and there is just a wide open door for you here as technology advances?
David Dauch: First, on the Cherokee program, that was just an industry first technology. So we brought something new to the marketplace, not necessarily replacing anything, but as Chrysler brought that new vehicle out replacing an older vehicle, but totally different architecture and structure in regards to the types of products that we put forward. But the big issue here is -- there is a market out there for the conventional all-wheel drive product, but as fuel prices or emission requirements and all that are increasing and the demands are increasing, that is where we feel there is a market for disconnecting. So we think there is a market for both. At the same time, going forward in the future we think there is going to be a growing market for the electrical all-wheel drive an even the plug-in hybrid and the full electric. So we’re developing our product portfolio so we can support all the different customer requirements when it comes to passionate car applications. And then on the truck side, as we have covered with you before, we already have the most efficient axles in the marketplace today. We continue to work on light-weighting initiatives, again, mass optimization, better emission and performance-related type products and Mike highlighted some of the technology that we’re working on today. Nothing to go anything further beyond at this point in time, but things that, based on the commitment of our R&D dollars and the products, process and systems technology are going to allow us to have a very modern product portfolio as we move forward on the truck side as well. When you couple that with what we are doing on increasing our electronics capability, the Mechatronics capability to introduce sensors and actuators and motors and all that into our mechanical type products, just very well-positioned at AAM for a bright future going forward.
John Murphy - Bank of America Merrill Lynch: That is helpful and just one last quick one. On casting and forgings in the North American market, there is clearly some shortages that are starting to develop as that is a very tight point in the supply chain. Are there any issues or opportunities that you guys specifically have there in-house or with some of your suppliers?
David Dauch: We already have our own in-house forging operation. We’re the number one forger in North America. So we have continuity of supply protected in that respect on the forging standpoint. Clearly, we will look at other opportunities as they present themselves in the marketplace, whether they be here in North America or globally. On the casting side of things, we value the partnerships and relationships we have with our current supply base today. That supply base is growing for us on a global basis as we are growing ourselves to truly be that global company. There are some constraints of that took place, largely because of what took place back in the marketplace in 2009, but as I said, we have been able to develop a very solid and strong relationship and have long term agreements in place for those critical suppliers. And then we will continue to evaluate what we need to do for all of our commodity strategies, not just necessarily the casting side but obviously that is one that is tighter in the marketplace than some of the others. But we will continue to assess our options, whether we vertically integrate or we maintain the strategic relationships or add additional suppliers to the commodity strategies.
Operator: Thank you. Your next question comes from Joe Spak with RBC Capital Markets.
Joe Spak - RBC Capital Markets: You talked very positively about EcoTrac and it sounds like that is really picking up here on Cherokee and I guess the Chrysler 200. One, first, I guess on the 200, can you confirm is that standard on everything or is that an option on that?
Mike Simonte: That is an option.
Joe Spak - RBC Capital Markets: It is? And how have you seen take rates trended there recently?
Mike Simonte: In-line with what the customers have identified.
David Dauch: On the passenger side, all-wheel drive take rates are much lower than on the crossover side. So the bulk of sales for this product in North America support the Cherokee program.
Joe Spak - RBC Capital Markets: Right, and I know that has been paired with the ZF nine-speed transmission and I think that transmission is set to go into a lot of other vehicles. So I guess I'm just curious, is it fair to assume that you can follow that transmission? Is there anything technologically that now that you have shown it could be done, that helps you win new business? And I guess I'm specifically curious because I believe ZF also has a similar or a competing technology. So wanted to get a little bit of insight into how you approach that market as you bid on business.
David Dauch: First thing I would say is that Chrysler partnered with us or Fiat Chrysler partnered with us because of the advanced technology in the industry -- first technology that we have. Second is our system can be paired up with any type of transmission, it doesn't necessarily have to be the nine-speed. But obviously, it is applying to that right now in regards to some of its current applications and maybe some of the future applications. We’ve clearly demonstrated the ability to make it scalable and modular to the various vehicles whether it be the 200 program like you talked about, or any other derivatives or platforms or that the Fiat Chrysler organization may look at. At the same time, we’re having discussions with multiple customers globally around the world as they are evaluating, one, either putting all-wheel drive into a program or two, switching from a conventional all-wheel drive program to a disconnecting to do deal with the fuel economy and emission type issues. So we feel very good about where we are, we continue to look on how we can modernize that technology and make it even more efficient and better packaging moving forward in light-weighting. But we’re very pleased with the offering we have in the marketplace and as I said earlier, it has been received very well as far as the Cherokee itself. And a lot of that stems from the ability that our driveline system brings to it for both the one-speed application on road or on highway versus a two-speed application which really plays to the Jeep enthusiasts and the off-road capability.
Joe Spak - RBC Capital Markets: Okay. And maybe I could just ask one bigger picture question, with ZF sort of set to become a much larger company, have you seen any change in the marketplace as to their approach to the axle market? Or would you expect any change there?
David Dauch: Well, that is their decision. Obviously, they are a formidable and solid competitor in the marketplace today. They have got a relationship with Chrysler in regards to the previous Chrysler in-house axle operations. We respect them and their capabilities there. They have obviously, with them potentially absorbing TRW here got to reevaluate their product portfolios and their management team has to make those decisions. All we can do is react and respond to what opportunities or what challenges may present themselves in the marketplace, but we recognize them as a formidable competitor in certain areas. At the same time, we collaborate with them in other areas as it relates to integration of our products with one another.
Operator: Thank you. Your next question comes from Brian Johnson with Barclays.
Brian Johnson - Barclays : A little bit of catch low housekeeping and then sort of an operational, less strategic question. On the cash flow Mike, GM noted that they paid some bills on the last Tuesday of the month and that resulted in extra outflow for that. Did you benefit from that in your cash flow and then how should we think about that modeling into fourth quarter cash flow?
Mike Simonte: Brian, absolutely. As you recall, at the end of calendar year 2013 we had the same dynamic with year-end on a Tuesday. In the first quarter and second quarter for that matter, quarter-end was on a Monday and so our cash flow in the first half of the year a little weaker because we had one fewer payment than what would normally be the case. The third quarter cash flow -- and we told you this six months ago -- would be a little stronger, and that is exactly because of what you said, quarter-end was on a Tuesday. There was about a $50 million payment on Tuesday, September 30. So, adjusted for that cash flow was still a very strong $45 million, $47 million, something like this. But you’re right on. That was an impact. Now, for the three quarters in total, we’re back to exactly what you would expect in terms of the number of weekly payments from General Motors, so no impact on the $84 million. And thinking about that through three quarters, fourth quarter year-end is on a Wednesday I think it is, so it should not have any impact on the fourth quarter of 2014.
Brian Johnson - Barclays : Okay. So this payment doesn't come at the expense fourth quarter--?
Mike Simonte: No.
Brian Johnson - Barclays : [Multiple Speakers] was from prior quarters. Second around cash flow, pretty big gap -- no pun intended -- between GAAP tax and cash tax.
Mike Simonte: Yes.
Brian Johnson - Barclays : How long do you expect that to continue and how therefore, do we think about modeling cash flow over the next two to three years?
Mike Simonte: Okay. There are a couple reasons why we have a book and cash tax difference. But, basically, the first and most important issue was that, in the United States we have substantial in operating losses and tax credit carry forwards that provide cover here. The net operating losses will probably be used up in calendar year 2014, but we will still have credit capacity sitting behind that that will at least for the next couple, three, maybe four years, preclude us from making any material tax payments in the U.S. as we understand laws, regulations in our business today. The other element of our cash tax situation and position is the Maquiladora tax structure in Mexico. We, as many automotive companies and for that matter, many industrial companies, take advantage of that Maquiladora regime in Mexico. We benefit from tax treaties between the country of Mexico, the country of Luxembourg and the country of the United States. And of course, as long as those regulations and treaties stay in place, we would expect to have a lower cash tax provision rate than our book tax provision rate. So we do expect our cash tax provision to go up a little bit as tax holidays we enjoy in places like Thailand and China expire over the next couple of years and as we improve our profitability in Brazil. So we would probably expect our cash tax provision to ramp to about 10% versus the book tax provision of 15% to 20%.
Brian Johnson - Barclays : When you say ramp, do you mean next year or do you mean over the two or three years?
Mike Simonte: Over a couple years, next year, we should be higher than we are this year in 2014, but maybe halfway from a 5% to 10%. We will see how things develop in our budgeting plans. That is what we’re currently thinking.
Brian Johnson - Barclays : Okay and so, it gets to my operation question. Certainly, macro headwinds in Brazil and emerging markets in general, thinking of the GM program in Thailand is that tracking well, a little bit below plan? And are you able to make it up elsewhere in your mix, if so?
David Dauch: As we communicated earlier on the volumes for both those regions as far as South America as well as Thailand for the midsize pickup truck program in GM are run well below what the original plan was for those programs. Clearly, you understand the economic conditions in Brazil are weak, although working with our customer there, we do see some increasing schedules going forward in the future. In Thailand, there is less political tension in that market right now. We’re starting to see some signs of improvement, but I don't know if it will fully recover to the levels that we had originally capacitized the program for. So we’re working with our customers in regards to what do we need to do with respect to the capacity and the allocation of that capacity for future programs. We’ve adjusted both those markets to the new market demand -- or both those businesses to the new market demand. Our teams have done an outstanding job as far as managing performance and profitability there. At the same time, as we mentioned to you earlier, we have got some new programs coming into the Thailand market, that being the (indiscernible) and that we will be able to address some of those capacity shortfalls.
Operator: Thank you. Your next question comes from Brett Hoselton with KeyBanc.
Brett Hoselton - KeyBanc: Just a couple of quick questions here, I think. One, your 2015 revenue $4 billion, in prior conversations I think you kind of referred to that is at least $4 billion. Now you are saying targeting $4 billion. Am I thinking too much about this or are you thinking that maybe things have gotten just a little softer in some of your markets?
Mike Simonte: First of all, I think you are thinking too much about it. We discussed this issue at the end of the second quarter and really what we said is the $4 billion target -- and for that matter, the $500 million target that we established a few years ago which it looks like will hit this year a year early -- was intended to show that extended growth that we anticipate in our business. When it comes to specific guidance around 2015, we will be much more granular, we will talk about it in much more detail in January.
Brett Hoselton - KeyBanc: Okay and then just going to circle back to 2015 and Rod's question about EBITDA margins. You kind of gave us some of the puts and takes. My net impression is that based on your commentary over the past year or so that your margins are likely to be flat to down next year, but not necessarily materially. I'm kind of thinking mid-13% range, maybe 13% range. And I know you are not going to want to get too specific, but directionally is that kind of the idea?
Mike Simonte: Yes, absolutely. This year our quarterly EBITDA run-rate should be in the neighborhood of 13.1% the first quarter as high as 14.3%, maybe a touch higher in the second quarter. So I would expect to operate in that same area next year. But as you pointed out and I commented already, we’ve got some SG&A spending increases that we anticipate. We do expect to have a lower concentration of the North American light truck vehicle as we launch other programs in other markets and as we’ve discussed and explained ad nauseam about why, we would expect a slightly lower overall profit profile. The other element that we’re addressing -- and this is the sign of a healthy industry and it is great really -- but the fact is we do have productivity commitments to offer to our customers. We have talked about those in the past and that is an element of our profit progression as well.
Operator: Thank you. Your next question comes from Dan Galves with Credit Suisse.
Dan Galves - Credit Suisse: I think first of all, could you just tell us if the third EcoTrac platform, the one in China for Chrysler was in the previous backlog, in terms of what you disclosed as the $1 billion?
David Dauch: No, it was not.
Dan Galves - Credit Suisse: Okay, and the second question is, given that it is a pretty diverse group of launches, could you just characterize maybe the risk profile of these launches versus what you had this year, in terms of were they new facilities or existing facilities and any broad strokes of what we should be thinking in terms of project expense, launch costs and things like that?
David Dauch: Yes. Actually, I feel very good about where we’re from a launch readiness standpoint. All of these products are going into existing facilities so there is no brand new facilities for American Axle. Many of these plants have already received some of the capital equipment and we’re in the process of debugging this year in calendar year 2014. We will have some additional work to do in 2015 with some additional equipment coming in. But I feel very good about the leadership team in each of the regions that have responsibility for these launches. I feel exceptionally good about where we’re with our equipment suppliers in regards to getting equipment in and debugged and I also feel exceptionally good in regards to where we are working with our supply base to make sure that we don't have any constraints in the supply chain or the value chain. Clearly, any time you have a launch, you have some launch expenses or product expense that goes with that, but that is already contemplated in our financial planning. And what we ought to do is just be in a mode of executing (indiscernible) like we’ve been known to do in the past.
Dan Galves - Credit Suisse: And just maybe a follow-up, again, this is EcoTrac program in China, are those parts going to be produced in North America and shipped or are they going to be produced domestically in China?
David Dauch: We’re still working that out with our customer. I'm not really at liberty to speak to that right now. But obviously in the future we prefer to localize it just to mitigate risk in the supply chain, but we will work with the customer to determine what is appropriate for both of us.
Operator: Thank you. Our next question comes from Ravi Shankar with Morgan Stanley.
Ravi Shankar - Morgan Stanley: One more question on free cash flow here. You look at your CapEx guidance from 6.5% of sales -- 6% of sales which from is my math about $18 million or so was about the range that the CapEx went up. So when you look at the FCF range of $80 million to $100 million before the CapEx start was that consistent with your approximately $100 million guidance previously? Or is there some kind of puts and takes on the working capital side?
Mike Simonte: I'm a little confused by your question, Ravi. What was your reference to $80 million to $100 million?
Ravi Shankar - Morgan Stanley: So if you look at your current FCF range of $100 million to $120 million of which about $18 million or so appears to come from lower CapEx--
Mike Simonte: No, I understand that portion.
Ravi Shankar - Morgan Stanley: So if you guys take the CapEx improvement out of it, that is about $80 million to $100 million and then you add the $18 million to it to get to your current range?
Mike Simonte: Yes. As you know there are many puts and takes and many variables we’ve to manage in our cash flow activity. We have guided consistently and always to $100 million in calendar year 2014. I guess that was my sensitivity to your comment about $80 million to $100 million. We do expect some benefits of lift, if you will, from the CapEx reductions. As you know, we’re working very hard to reduce costs in all areas of our business, capital included. And so that reduction in our capital spending plan reflects the fruits if you will, of the work that Alberto Satine, Mike Lynch and of course, David and I and others have done to further reduce CapEx whenever possible, still meeting our customer requirements. So there are many puts and takes. I guess that is what I will say, we targeted $100 million at the beginning of the year. We now expect to be $100 million, upwards of $120 million. And we’re targeting -- and we will be disappointed quite frankly, if we are not in the upper half of that guidance range we are talking about today.
Ravi Shankar - Morgan Stanley: And you mentioned earlier in this call that the combined 2014, 2015 cash flow is $275 million to $300 million which is what it was previously as well, but your 2014 is now going up by $20 million. Is that because you’re just not being specific on the 2015 or is there something out of 2014 that comes out of 2015?
Mike Simonte: We feel very good about our estimates for cash flow over these next couple of years. The yields are very high. The impact on shareholder value, debt reduction, everything else should be very positive. We will talk a lot more about 2015 in January. But, at nearly $300 million of positive free cash flow, we’re going to give each other high-fives and we are going to feel very good about that when we deliver it.
Ravi Shankar - Morgan Stanley: Just lastly, can you remind us what percentage of light vehicle's production printed a today is rear wheel drive and where you expect that to go in the next 3 to 5 years?
Mike Simonte: The question is what rear wheel drive in the marketplace or rear wheel drive in our portfolio?
Ravi Shankar - Morgan Stanley: No, in the marketplace.
Mike Simonte: We will get back to you on those details. I don't have that detail, are you speaking to the North American market?
Ravi Shankar - Morgan Stanley: No, global, given that you’re now effectively a global company, so.
Mike Simonte: Okay. Fair enough. I am trying to understand your question.
David Dauch: As far as the rear wheel drive, if you look at globalization 75% of the global vehicles are front wheel drive passenger car, roughly.
Ravi Shankar - Morgan Stanley: Okay and do you expect that is going to stay at that level or do you see all-wheel drive kind of taking up more share of the expense of rear wheel drive?
David Dauch: All-wheel drive is clearly coming into play and all-wheel drive is being introduced to front wheel drive vehicles. So the front wheel drive penetration is probably going to be in that 70% to 75% range, but at the same time you are seeing greater penetration of both front wheel drive and rear wheel drive with respect to four wheel drive and all-wheel drive as consumers want better riding, handling and traction and safety and performance. So we looked at that as a positive. Just like we are seeing on the truck side, four wheel drive is up to 68% right now. We’re also seeing, over the last seven years increasing consumer demand for all-wheel drive product. And we think we’re right in the sweet spot with the technology that we have not only developed to date, but also the technology that we are working on in the future.
Operator: Thank you. And our final question comes from Ryan Brinkman with JPMorgan.
Ryan Brinkman - JPMorgan: First question is, can you share what Brazil and Thailand growth assumptions if any, are embedded in your 2015 revenue and free cash flow targets?
Mike Simonte: Listen, I want to be responsive to your question. We will address those types of details in the Detroit Auto Show discussions we have in January. We do expect some growth. As you know, in Thailand David just mentioned, we will have a new program to launch of that will be on a percentage basis, a substantial lift for Thailand. In Brazil, we’re hopeful that there is some stabilization to that economy and that our customers can meet their plan, really, for some increase in production. But I think in Brazil, it will be more incremental based on the overall macroeconomic picture and in Thailand it is going to be a little bit more step function increase for us because of the new launch.
Ryan Brinkman - JPMorgan: Then, just last question on full size truck market share. I think the heavy duty Ram has done really well ever since it launched, but GM has lost some share. Is that changing, though? I think GM actually passed Ford in share for the first time since you launched [Technical Difficulty]. Do you think that is a temporary phenomenon regarding related to Ford's changeover somehow? Or could this be the beginning of a change in GM strategy to trade some price for volume which would be to your benefit?
David Dauch: I don't think GM is looking to give up any market share. I think GM went through a massive conversion of their full size truck product line from GMT-900 to K2XX. As we said to you, it wasn't until recently that they have got their full complement of their options and vehicle platforms available to the marketplace. During that period of time, when they were going through the conversion, Ford and Chrysler both picked up market share -- or Ram picked up market share. Ram continues to do well. At the same time, the shoe is on the other foot right now. Ford is going through their massive conversion of their F-150 program and GM and Ram continue to gain market share. So the great news is they all have exciting products out there. The other good news is that AAM has got content on those products and we hope all those customers do well and we can see the market continue to grow.
Christopher Son: Thanks, Ryan again. And we thank all of you who participated in this call and appreciate your interest in AAM. We look forward to talking with you in the future.